Executives: Bina H. Thompson - Vice President of Investor Relations Ian M. Cook - Chairman, Chief Executive Officer and President
Analysts: William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division Wendy Nicholson - Citigroup Inc, Research Division Linda Bolton-Weiser - Caris & Company, Inc., Research Division Christopher Ferrara - BofA Merrill Lynch, Research Division Joseph Altobello - Oppenheimer & Co. Inc., Research Division Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division Dara W. Mohsenian - Morgan Stanley, Research Division Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division John A. Faucher - JP Morgan Chase & Co, Research Division William Schmitz - Deutsche Bank AG, Research Division Joe Lachky - Wells Fargo Securities, LLC, Research Division Alice Beebe Longley - The Buckingham Research Group Incorporated Javier Escalante - Consumer Edge Research, LLC Constance Marie Maneaty - BMO Capital Markets U.S. Lauren R. Lieberman - Barclays Capital, Research Division Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division Jason Gere - RBC Capital Markets, LLC, Research Division Unknown Analyst
Operator: Good day, everyone, and welcome to today's Colgate-Palmolive Company First Quarter 2012 Earnings Conference Call. Today's call is being recorded and is being simulcast live at www.colgate.com. [Operator Instructions] At this time, I would like to turn the call over to the Vice President of Investor Relations, Ms. Bina Thompson, for opening remarks. Please go ahead.
Bina H. Thompson: Thanks, Anne. Good morning, and welcome to our first quarter 2012 earnings release conference call. With me this morning are Ian Cook, Chairman, President and CEO; Dennis Hickey, CFO; Victoria Dolan, Corporate Controller; and Elaine Paik, Corporate Treasurer. This conference call will include forward-looking statements. These statements are made on the basis of our views and assumptions as of this time and are not guarantees of future performance. Actual events or results may differ materially from these statements. For information about certain factors that could cause such differences, investors should consult our most recent Annual Report on Form 10-K filed with the Securities and Exchange Commission and available on our website, including the information set forth under the captions Risk Factors and Cautionary Statement on Forward-Looking Statements. We will discuss organic sales growth excluding foreign exchange, acquisitions and divestitures. We will also discuss gross profit; gross profit margin; selling, general and administrative expenses as a percentage of net sales; operating profit; operating profit margin; net income; and earnings per share on a diluted basis, excluding the impact of the items described in the press release; and earnings per share on a currency-neutral basis. A full reconciliation with the corresponding GAAP measures is included in the press release and is posted on the Investor Relations section of our website at www.colgate.com. We're very pleased with our results for the start of 2012. The solid top line that we saw build through the year last year has continued into the first quarter, with good organic sales growth composed of balanced pricing and volume. And as you'll hear when we go through the divisions, our pricing actions have not suppressed volume or market share. On a global basis, our market shares are up in 8 of 12 categories, and market shares are up nicely in all regions of the world. Our new product launches have met with success, and we have more in the pipeline to continue the momentum. Despite continued commodity cost pressures, our gross margin increased sequentially from the fourth quarter of 2011 by 50 basis points, as we told you it would. And as Ian said in the press release, our expectation is that gross margin should increase nicely for full year 2012. Our Funding the Growth program continues to deliver substantial savings across the P&L. We're particularly pleased with the progress we have been making on our overhead costs, which were down 40 basis points. Our ongoing focus in this area is delivering good results. And as we continue to implement further savings projects, we expect this good performance to continue. As you know, increasing gross margins and reducing fixed costs allow us to increase advertising behind our businesses at the same time as growing the bottom line. So while concerns remain regarding macroeconomic conditions in the developed markets, we're cautiously optimistic. Although forecasts for GDP growth remain modest, we are seeing growth across our categories, which is encouraging. The emerging markets, over half of our business, continued to perform very well despite continued competitive activity, as all manufacturers see these regions as an opportunity for growth. As you know, we have been in these markets for many years and have established strong franchises which have continued to grow. Our balance sheet remains healthy, and cash generation for the full year should continue to be strong. So let's turn to the divisions. Starting with North America. We're very pleased with our results in North America where we delivered solid organic sales growth of 5.5%. For the second quarter in a row, we had positive pricing after 9 consecutive quarters of negative pricing. And while we still need to be cautious relative to the macroeconomic environment and general consumer spending habits, it was very encouraging to see positive dollar category growth in all our categories, with our overall consumption outpacing that category growth. And in addition, the very heavy promotional activity on the part of some of our competitors seems to have lessened, which bodes well for everyone. As referenced in the press release, our all-outlet toothpaste share increased a full point in the quarter, widening the gap with our nearest competitor to over 3 points. The momentum behind our super premium-priced Colgate Optic White toothpaste continues as we have created buzz among stylists, celebrity influencers and magazines. And in addition, this successful new product has won awards in a number of consumer surveys for Best New Product. Our relaunch of Colgate Total Advanced toothpaste has also met with success, supported by effective in-store activities and 2 new television commercials: one for the general market; and one for our Hispanic consumers, which is being aired on key Hispanic networks. As you know, our share of the Hispanic market is very strong, about 50% year-to-date. Our manual toothbrush share was up in the quarter, up 2 full points to 34.6% on a year-to-date basis. Part of this success was driven by relevant toothbrush offerings to complement our strong brand equities in toothpaste: Colgate Optic White, Colgate Sensitive Pro-Relief and Colgate Max. This quarter, we are launching Colgate 360º Total Advanced manual toothbrush to offer a regimen alongside our toothpaste. The toothbrush has a strong motivating claim. It removes 3x the bacteria with a surround bristle pattern, wraparound cleaner and a cheek and tongue cleaner. The super premium packaging increases shelf presence. This new product will tie in with the #1 Colgate equity and its media support and allow for powerful joint displays in store. In the quarter, we also strengthened our market-leading position in liquid hand soap, up over a point to 38.2% on a year-to-date basis. And encouragingly, the second-largest player, private label, saw share declines in the quarter due in part to our steady stream of new product innovation accompanied by impactful in-store activity. And we're excited about our lineup of new products slated for the balance of the year and expect the momentum to continue in this region. Turning then to Europe/South Pacific. This region remains challenging from a macroeconomic standpoint. Economic difficulties, including very high unemployment, are most prominent in Greece, Portugal, Spain and Italy, while Germany exhibits a more positive outlook. So in that light, we're pleased that categories in which we do business are exhibiting growth, although that growth is modest. And we are growing market share in virtually all of our oral care segments: toothpaste, manual toothbrushes and mouthwash. In toothpaste, our regional market share is up 0.5 point on a year-to-date basis to 33.4%, with the most recent share at 33.6%, and this is in the face of heightened competitive activity in many markets. In manual toothbrushes, our regional market share is up 1.5 points. And in the U.K., we've achieved leadership with a share of 32.9%, up over 7 points on a year-to-date basis. In mouthwash, our share in the region is up 30 basis points year-over-year. Innovation is key to driving growth and market share in the developed markets, and we're pleased with the breadth of new product activity so far this year with more to come. Building on the success of Max White One toothpaste across the region, in the second quarter we will be adding manual toothbrushes and mouthwash, extending the portfolio to provide a full range of whitening products. In addition, we will be redesigning the packaging to conform with a very impactful Colgate Optic White design, which has met with such great success here in the U.S. and in select markets, at the same time we will be introducing the Colgate Max White Professional Whitening Kit to the dental profession. Also in the second quarter, we will be expanding our launch of Colgate Total Pro Gum Health toothpaste. Initial markets of Romania and Greece have had promising early results, and we will be expanding the bundle to an additional 7 countries in this quarter. The full offering of a premium-priced toothpaste, mouthwash, toothbrush, floss and interdental brushes will be supported by a robust integrated marketing campaign, including a very strong professional plan. Currently, we are underrepresented in the gum segment so this provides an interesting opportunity. The Sanex integration continues to move forward, and along with it, a range of new products in deodorants and bath and shower gels. In particular, we're very encouraged by the Sanex Zero line, which provides a range of products with mild, biodegradable ingredients approved by dermatologists. In Home Care, under the Ajax brand name, we will be launching a pure home range of cleaners, which both purifies surfaces from dirt and bacteria and help purify the air with fragrance from essential oils. Turning now to Latin America. Strong performance continues in Latin America with regional market shares increasing in toothpaste, manual toothbrushes, mouthwash, bar soaps, hand dish, liquid cleaners and fabric conditioners. Our regional toothpaste share is at a record 79.3%. Both Mexico and Brazil, where competitive activity has been intense, increased their toothpaste share by about 2 points on a year-to-date basis. We told you last quarter about the successful launch of Colgate Luminous White in both of these markets and that success has continued, particularly with the launch of a companion toothbrush. The Luminous range toothpaste, toothbrush and mouthwash has now expanded to Colombia, Argentina, Central America, Chile and Uruguay. Our leading regional toothbrush share of 41.6% is up over 1 point on a year-to-date basis. We lead the market in every country but Mexico where our share is up 70 basis points on a year-to-date basis to 40.5%, fast closing the gap with our nearest competitor. In mouthwash, our regional market share is up 5.6 points year-to-date to 37%, just a little over 4 points behind the market leader. The gap was over 29 points in 2007. And we now have leadership positions in Venezuela, Argentina, Central America, Paraguay and Uruguay. In bar soaps, our regional increase in share of almost 2 points year-to-date, 31.1%, is driven in part by success in our 2 largest markets, Mexico and Brazil, where our share increased 3 points and over 1.5 points, respectively. In Mexico, we relaunched our Palmolive Naturals line, along with a new variant, Coconut and Cotton. In Brazil, successful new product launches under the Protex equity have helped narrow the gap with the #1 player from over 17 points to just over 2 in the last 5 years. Total bar soap share in that country is 24.5%, up over 1.5 points from the year-ago period. So we're excited about the continued stream of innovations. In oral care, as in Europe, we will be launching Colgate Total Professional Gum Health toothpaste. Two exciting new deodorants are Lady Speed Stick and Speed Stick Naturals and Protect. Under the Palmolive brand name, we will be expanding a line of pomegranate, toilet soap, shampoo and shower gel, which is already being sold very successfully in Brazil. Turning then to Greater Asia/Africa. Top line results in this division were excellent as we continue to grow volume and market share. Good toothpaste market share gains across many countries were referenced in the press release. More specifically in India, our share increased 150 basis points to 52.3% on a year-to-date basis, and in the latest period reached 53%. The market share gain was broad-based across our entire portfolio of products, both at affordable price points as well as the premium end because as you know, in this vast country, our strategy is to offer a broad toothpaste product portfolio covering a full range of pricing to appeal to all income levels. In China, where the business is growing nicely, our market share increased 210 basis points to 34.6%, gaining from other multinational competitors. In Thailand, our market share increased 80 basis points to date -- year-to-date to 53.1%, driven in part from good growth in the Sensitive segments. And in Turkey, our share was up 170 basis points year-to-date, 26.1%. Mouthwash market share saw explosive growth in China, India, Thailand, Malaysia, Singapore, Hong Kong and Vietnam. In China, our share increased 280 basis points year-to-date to 32.7%, with the most recent share at 33.1%. Colgate Plax Green Tea, an innovation developed particularly for the Chinese consumer, helped drive the share. To help the expansion of our Sensitivity products, we will be launching both Colgate Sensitive Pro-Relief and Enamel Protect toothpaste and Colgate Sensitive Pro-Relief mouthwash this quarter. In addition, we will be rolling out our Slim Soft toothbrush to more countries, and in Thailand, we will launch a Protex for men line. So finally turning to Hill's. Hill's produced another quarter of organic growth despite a modest decline in volume. Pricing was up 3.5%, reflecting prior period increases in line with competition, thus ensuring we are properly positioned on the shelf. As we've previously discussed here in the U.S., the fastest-growing segment is Naturals, a segment consisting of dozens of brands where we are underrepresented. The launch of Hill's Science Diet Ideal Balance late last year was an initiative to address the situation and it has had an impact. Shipments in the quarter were ahead of forecast. Data shows that we are bringing new consumers into the Pet Superstores, as well as drawing consumers of Naturals brand to Hill's. In February, we launched a full integrated marketing campaign to support Hill's Science Diet Ideal Balance with both traditional and digital media, national print ads, FSIs and off-shelf displays and retailer promotions. Also in the U.S. in the second half of the year, we're excited about a complete relaunch of our Science Diet business. This relaunch will improve the perceived science of quality in the products, enhance the shopping experience with new packaging design and strengthen and differentiate our message. Our vet-exclusive Hill's Science Diet Healthy Advantage also continues to do well, driving share in the U.S. vet channel. New products in our Prescription Diet line, such as PD y/d Feline Thyroid Health in the U.S. and Canada and PD j/d Glucosamine and Chondroitin have helped drive our leadership share of over 70% in this category and continue to grow veterinary recommendations. In Europe, we're in the process of launching a taste upgrade across our Science Plan portfolio for both dogs and cats. Feline Adult Chicken was the first diet to be reformulated and introduced in the fourth quarter of last year. The remainder of the portfolio is flowing through and in all instances is parity or superior in taste to the leading competitor, a significant improvement. As in the Colgate business, the high-growth markets represent a good opportunity for Hill's and are growing very nicely as we expand distribution in countries such as Russia and Brazil. So in summary, we are very pleased with the way 2012 has started. Clearly, the momentum in our business, which we enjoyed as we exited 2011, is continuing into this year. Our strategies are working. Our ongoing Funding the Growth program continues to deliver significant savings, and we expect that to continue. Our worldwide focus on increasing advertising is resulting in excellent sales and volume growth, and our market shares are healthy and increasing around the world. We continue to expect that volume growth for 2012 should be in the 4% to 7% range and that gross margin should increase between 75 and 125 basis points. And we do look forward to sharing our progress as we go through the remainder of the year. That's all I had for prepared remarks, and now if we could open it up for questions.
Operator: [Operator Instructions] We'll take our first question from Bill Chappell with SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc., Research Division: Just as you're walking through kind of the different regions, it sounds like the only region where you're seeing less competitive activity is North America. I didn't know if that was what you think is a start of a trend or if there's any reason why that's -- why it's pulled back there but not other regions.
Ian M. Cook: No, I would say that -- and several of us have been traveling quite extensively as you would imagine this year. And I would say that one is seeing slightly reduced levels of competitive activity everywhere you go, still elevated but lesser than in the past. And as I said on the previous call, if we can move into a situation where the competition is on innovation, this is the way we believe we are well equipped and would prefer to compete. But it's not limited to the U.S. I would say there are early indications in other geographies as well although still at elevated levels.
Operator: We'll take our next question from Wendy Nicholson with Citi Research.
Wendy Nicholson - Citigroup Inc, Research Division: The question I have is on the profit margin in North America down year-over-year. I think and I know there isn't too much value on just one quarter, but the first quarter margin, 24.2%, I think is the lowest margin we've seen in the U.S. for a long time. So was that just a timing of marketing spending? Is that something that's going to pick up and improve during the course of the year? Maybe just a little more color on that.
Ian M. Cook: Sure, Wendy. The answer is that it is as it was in the fourth quarter, entirely intentional. This is the trial-building investment spend behind Optic White and our other innovation initiatives in North of America -- North America. You will remember we said that in the fourth quarter. And that continues to be the case very much in the first quarter. And then as the year unfolds, that situation will improve. So a conscious decision to invest behind super premium innovation, which is allowing us to grow share, to grow the top line and to increase pricing for the second consecutive quarter in that geography.
Operator: We'll go next to Linda Bolton-Weiser with Caris.
Linda Bolton-Weiser - Caris & Company, Inc., Research Division: Just actually a follow-on question to what you just answered for Wendy. I mean, if you look at 2011 and kind of the pattern of the North American operating margin, you did have a blip up to 27.4% in the third quarter, but actually the full year margin was lower than it was in the first quarter of 2011. So I don't really see the pattern that you're talking about that there was heavy spend and then the margin improved later in the year. So can you just kind of clarify what you just said and then how 2012 will unfold? And then my second question is just on the overall corporate kind of volume and pricing progression. I mean you're guiding to 4% volume growth for the year, and yet it was only 3% in the quarter. Should I think about that as the volume growth will accelerate as we see the pricing comparison come off a little and be less positive as the year progresses? Is that the way to think about it? And I'm curious about if you're price comparison will peak in the first or second quarter as being the most favorable.
Ian M. Cook: Okay, Linda. Let me come back to North America and be quite clear here. If you look at 2011, to your point, as I was saying earlier to Wendy, indeed our operating margin declined in the fourth quarter because of the investment spending behind the Optic White toothpaste. And it has stayed at a low level because of the continued investment behind the trial-building spending on Optic, and then will improve across the balance of the year, the balance of the year being 2012 and not 2011. If you take the volume for the balance of the year, we're actually extremely pleased with the way this year started and the balance we have between volume and pricing. In fact, ex-divested, the volume in the first quarter for the total company was 4.4%, and that is with the pricing that we garnered as well. And as Bina said, we did that without impacting our market share progression. Indeed our market shares improved. So I think the first quarter is indeed a good indicator that we can continue that pace for the balance of the year, that 6% to 7% organic growth that we talked about on the fourth quarter. And that's largely related to the innovation stream that we have, the Optic that is rolling -- Optic White toothpaste that is rolling around the world and the other innovations that Bina had mentioned. So we are quite comfortable with that volume progression.
Operator: We'll take our next question from Chris Ferrara with Bank of America.
Christopher Ferrara - BofA Merrill Lynch, Research Division: Guys, on Latin American margins, I guess you cited in the press release FX and inflation is hitting SG&A. And I guess I was wondering if you could talk a little bit in more detail about how big those might have been. Because I was surprised that margins would be down in a plus 10 pricing quarter. And then as a follow-up to that, do your -- does your outlook take into account the big move the real has had, so you mark-to-market for a BRL 1.89 right now?
Ian M. Cook: The -- to come specifically to your question on the real, we are BRL 1.82. So we're on market for the real. Latin America, we're super pleased with our performance in Latin America, both on the top line and on the bottom line. The organic growth was indeed very, very strong, and we increased our investment behind the growth initiatives that we have. And that of course is a Latin America in the context of pricing actions that have taken place in Venezuela, which created a great degree of uncertainty in the first quarter, which led to the decline in Venezuelan volume that was called out in the press release. So gross profit margin improved sequentially in the first quarter, indeed improved year-on-year, and we see that improving across the balance of the year. So we're quite happy with Latin America.
Operator: We'll go next to Joe Altobello with Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Just one quick one here. I guess in terms of gross margin, I want to talk about how you get to the 75 to 125 this year. And obviously, it's a good number given where we've been the last couple of years. But if I could just kind of do a back of the envelope, raw materials last year, call it, a 4-point or 400 basis point drag to gross margin. This year, you're looking at something a little bit better than that, probably 100 basis point drag. Your Funding the Growth savings is a 200 basis point positive to gross margin. Pricing is probably 100 basis points. So that right there, that net is about 200 basis points to the positive. So what's the offset given that promotion spending is easing a little bit?
Ian M. Cook: Well, let's -- good set-up, Joe. It's exactly the way we rehearsed it. Let me as a start point on this because in many of the notes, there seems to be a lot of questioning about the gross margin progression. So if we take the first quarter of this year and that 20 basis point reduction versus prior year, which we were very pleased about, obviously a 50 basis-point improvement versus the fourth quarter. But if you do our customary roll-forward, last year's gross profit was 58.4%. This year with the pricing we have taken, along with good volume, I would add, that gives you an add of 140 basis points. Our Funding the Growth started the year actually slightly better than last year. We pick up another 140 basis points there. Material pricing, a headwind of 280 basis points. So -- and if you go back, you will see that, that is easing from the second half of last year. So net -- the total net savings are negative 140, basically offsetting with the pricing and then some minor other changes for the remaining 20 basis points. And if you look across the balance of the year, our material price expansion, we're still looking at that 2% to 3% range of increase, which I think is more of a headwind than you have estimated in there. And we would expect, as you suggest, our Funding the Growth to continue to progress rather like it has in prior years. Obviously, we'll get a better benefit from pricing this year than prior. And that makes us comfortable with the 75 to 125 basis points. So we think it is well positioned and quite achievable. And of course, you come up against more favorable comps with gross margins down quite substantially across the second half of 2011. So we're very pleased with our ability to take pricing and maintain volume. And so it is that lesser headwind, better pricing, our traditional Funding the Growth and easier comparisons that make the year, we think, very doable.
Operator: We'll go next to Ali Dibadj with Bernstein.
Ali Dibadj - Sanford C. Bernstein & Co., LLC., Research Division: I want to spend some time on 2 segments, if possible please. That's in Latin America, in particular just around volume. So first in Latin America, it's 3.5% volume that obviously includes mix. I don't know whether that makes this positive or negative, so some indication there would be helpful. But that's lower than we at least would have expected and granted you took higher pricing. But I'm trying to get underneath that and trying to understand what the volume and price growth was, excluding Venezuela, just give us a better sense of what the underlying is. And also, it sounds like you gained share there, volume and value probably. And if it was volume and value share gains in Latin America, what did you see the category growing? That's the Latin America question. The other one is around pets and it's, at least in my count, I guess 11 of the last 13 quarters that we've seen volume being negative. But we're continuing to hear we're having progress on resetting the pack sizes and the pricing. We're going after Naturals in a better way. But is there something more fundamental that's a problem? And it may be the brand, it may be you, but what about macro? What about competition? What about - just like fewer births or people adopting fewer pets? I mean, what are the other potential dynamics there? Because it sounds like you guys are taking some of the right steps but the volumes just aren't there yet. So some indication on those 2 would be great, please.
Ian M. Cook: Okay, Ali. Thanks for both questions. In Latin America, you are right. We faced a headwind of Venezuela as a drag because of the announced pricing and the uncertainty in the marketplace. So retailers, the distributors and wholesalers were simply not buying. Indeed our organic growth, if you were to exclude Venezuela would be in the mid-teens. And our volume growth in Latin America would be between 8% and 9%, which we view as very healthy. And frankly, you could argue that we saw the worst of Venezuela in the first quarter with people not buying. The new pricing is at retail now on our brands. We have done all of the things anybody would expect us to do in terms of rationalizing our portfolio, maximizing local production, and by the way, continuing to build market share in Venezuela. So we feel real good about Latin America as you say, also significant pricing beyond Venezuela, where of course there will be no new pricing in 2012 assumed. So with that big slug of pricing in the first quarter, we end the Venezuela thing a little bit behind us. We think we will see continued growth progression on the volume line accelerating from the first quarter level as we continue to build market share, as Bina laid out, with an innovation-led plan across Latin America. So we like our prospects in Latin America very much. If you turn to pet, I would characterize it the following way. The point on pricing was merely meant to say that in terms of the new pricing, taken on our pet nutrition business, that is pricing that this time followed competitors. So on that business, the pricing we have at the shelves today is in line with our competitors. That pricing has rebuilt gross profit margin on that business and allowed us to put the advertising investment we have behind the beginnings of what really is the most important objective for the Hill's business, which is to compete more effectively in the Naturals segment in the United States. Ideal balance is a very good beginning. It is a product that takes the scientific heritage of Hill's and makes it more of a natural offering, entering Naturals the Hill's way rather than as a pure-play Naturals product. Off to a good start, building distribution, building volume, building market share in trial, and the repeat rates are good. But that's only part of the story, and we're not happy with the progress we have made in terms of penetrating Naturals, the fastest-growing segment. And really, these are the competitors that are creating an opportunity that we have to create. It's these Naturals brands, of which I think at last count, there were something like 99 in the U.S. that are the biggest competitors. And the relaunch of Science Diet at the middle of this year, which is over 60% of the U.S. business, will see those products more competitive with Naturals offerings in terms of the ingredients, in terms of the messaging, in terms of the packaging, even in terms of the listing of the ingredients on the bag. And we think that is going to be a very significant step forward in reestablishing our competitiveness in the overall category by establishing our competitiveness in the Naturals segments of the category. So we think we have stabilized the business, and we expect that stability to maintain for the first half, and then a return to volume growth in the second half behind that Science Diet restage. So yes, there are competitive issues. The competitive issue though is Naturals, and we think we have the plan in place for Hill's Science Diet to effectively compete in that Naturals segment. The other 40% of the business, which is the Prescription Diet with over a 70 market share is doing extraordinarily well because that is based on the veterinary recommendation of proven -- clinically proven Hill's technology.
Operator: We'll take our next question from Dara Mohsenian with Morgan Stanley.
Dara W. Mohsenian - Morgan Stanley, Research Division: Ian, do you expect to take any further pricing this year? Have you already taken all your price increases already? And then also, can you discuss the pricing environment, specifically in Europe? You mentioned promotions improving a bit globally. Is that also true in Europe, just given the pricing looks pretty difficult still in the Q1 results in Europe?
Ian M. Cook: Yes, there are 2 answers then. The first is that if you think about our pricing for 2012, on the last call, we said that about half of that pricing in 2012 was rollover from 2011. In fact, that's now about 63% because forward pricing in Venezuela has now been taken off the table. Of the remaining 37% of pricing we had to take in 2012, fully 80% of it will be to market by the first half of this year. And we're really quite encouraged by the way we've been able to balance pricing and volume with our execution in the first quarter and believe that, that can continue as we implement the rest of our pricing. The European situation, I think as we have said before, continues to be perhaps among the toughest for our industry, never mind our company. As we have said many times, the categories in which we do business are growing high-single digits in the emerging markets, and we are blessed by having over 50% of our business in those markets. And the categories in North America are growing low-single digit, and the categories in Europe are growing very low-single digit and in some cases, flat. That's not new. That is a known phenomenon, and we are approaching Europe to try and improve our pricing position there, particularly with some of the premium innovation we have like on the Sanex business. As you say, our first quarter pricing was still tough, but it is our expectation that we hope to make progress across the balance of the year with pricing in Europe. And I think the overriding point to make in those slower growth parts of the world come back to the actions that we have discussed for a couple of years now, which are our continued efforts to revisit our structural costs to make sure that they are in line with the slower rates of growth that frankly, we can envisage for the near-term future. And you saw some of that in the first quarter with that 40 basis points reduction in our overhead. So hopeful to make progress on pricing in Europe, super pleased about 2 back-to-back quarters of positive pricing here in North America, and the European environment continues to be tough.
Operator: We'll go next to Caroline Levy with CLSA.
Caroline S. Levy - Credit Agricole Securities (USA) Inc., Research Division: Just wondering if you could dive a little deeper into China and Russia, and what trends are like on your businesses there?
Ian M. Cook: Sure, Caroline. I'm happy to do so. They were up, which are always good trends. Sales growth up indeed across the BRIC businesses: the Brazil, the Russia, the India, the China, very good and encouraging top line organic growth. Our market shares continue to be very strong. The increase in China that Bina mentioned earlier now approaching 35%. The Brazilian share, that's now approaching 72%. And Indian share that in the more recent periods has now broken through 50% and is at 53%; and Russia, holding a strong leadership position at between 32% and 33%, double the share of our nearest multinational competitors. So we're very encouraged by the good start to the year in terms of organic growth and on top of that, the share progress that we are making.
Operator: We'll take our next question from John Faucher with JPMorgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: Just want to clarify one thing, Ian, which is when you were you're talking about your volume guidance, you talked about, I guess, a 4.5% volume -- unit volume growth start to the year for the first quarter, which I believe includes Sanex but excludes divestitures. So I guess, when you guys talk about the 3% to 4% volume growth, is that what you're using as the metric, which is the including Sanex but excluding divestitures?
Ian M. Cook: Yes, it is, John.
John A. Faucher - JP Morgan Chase & Co, Research Division: Okay. And then -- so if we look at it, Sanex is probably adding sort of 1.5 currently. So that's probably a little less than sort of that 75 basis points over the course of the year, is that a fair statement?
Ian M. Cook: Yes, between -- on the year between 75 and 100 basis points. You're about right in Sanex.
Operator: We'll take our next question from Alice Longley with Buckingham Researchnex. And Alice, it does appear that you have disconnected from the queue. [Operator Instructions]    We'll take our next question from Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: Can you just talk about what the drivers of the volume acceleration are going to be as the year progresses to get into that sort of 4% to 7% range? Is it lapping the pricing in the back of the year? Or do you think that maybe there'll be some category acceleration? And then I'm going to try to ask 2 questions in 1. Just in India as an aside, how much of that growth in the quarter was sort of activity ahead of the competitors' launch, and how much of that was the sort of natural running the business the way you've always run it?
Ian M. Cook: To answer the second question, none. It was all how we run and have run our Indian business. And so as I said earlier, we are very pleased with that. In terms of volume acceleration, obviously, as I indicated earlier, the pricing we have taken, 80% of it will be in place of the new pricing across the balance of the year, and that's only 37% of the pricing that we plan to take in 2012. So you're right to a certain extent, the pricing environment will be more favorable. And clearly, it is importantly driven by our innovation stream. And I would say our marketing programs and the investment behind those marketing programs, which as we have already seen at the beginning of this year, are beginning to build share for us. And I think, as I alluded, although I wouldn't want to over indicate this, we are beginning to see in some markets perhaps some more rational promotional environment, and we feel quite good about our ability to compete innovation against innovation. So that would give us the -- or it does give us the confidence for our balance of year.
Operator: We'll go next to Joe Lachky with Wells Fargo.
Joe Lachky - Wells Fargo Securities, LLC, Research Division: I guess sticking with volume real quick, specifically in North America. I guess we talked pricing and margin in North America, but the North American volume in that mid-single-digit range, do you see that's sustainable going forward? Or is it kind of a onetime factor of like easy year-over-year comps or innovation selling with Optic White?
Ian M. Cook: We -- I would say, Joe, obviously there is a degree of the trial building activity that we have on the Optic. We like the way the share is building, I have to say. And so that is favorable for us. And I think for the year, certainly the volume in North America will stay in the single digits, perhaps modestly off what we've seen in the first quarter.
Operator: We'll take our next question from Alice Longley with Buckingham Research.
Alice Beebe Longley - The Buckingham Research Group Incorporated: Sorry, I got cut off briefly there. So I hope I'm not asking a question that somebody else asked in the meanwhile. But anyway, my question's about operating margins for the year versus a year ago for the different geographic segments, and particularly in North America, you said that margins should improve through the year, but I assume that's sequentially. Can operating margins for the year in North America be higher than a year ago even down and the same for Latin America and Europe, those 3 regions?
Ian M. Cook: Alice, I was responding when I gave that information to a very specific question about the first quarter operating margin in North America, which was the continuation of our investment spend in the fourth quarter of last year. You know that we do not provide operating margins by our divisions prospectively. And so I bring you back to the way we have been thinking about this year since it started, which is to achieve the kind of volume growth we have seen in the first quarter while delivering pricing that enables us, along with our Funding the Growth programs, to increase that gross margin by the 75 to 120 basis points that we have mentioned before, at the same time working hard to lower our overheads as a percentage of sales rather like we have accomplished in the first quarter so that we can continue to take what are healthy levels of advertising spending and continue to increase them and deliver the bottom line progress that we reaffirmed in the release this morning. And that's how the year will come together across our various geographies around the world.
Operator: We'll take our next question from Javier Escalante with Consumer Edge Research.
Javier Escalante - Consumer Edge Research, LLC: Ian, if we can come back to the gross margin progression a little bit. Your guidance certainly, 75 to 120 basis points, seems to be very achievable because it doesn't even get you back to the 2010 level, and you are going to have better pricing. Commodities certainly weren't up 2% to 3% last year. I don't know whether you provided that information but certainly it was much higher than that. And you have 2 savings streams, you have Funding the Growth and then you have synchronizing supply and demand. So the question basically is, is this conservatism? Or I -- it's difficult for me to believe that you cannot do better than 125 basis points given all these points.
Ian M. Cook: Well we thank you for your confidence and optimism, Javier. I must say the general sentiment coming into this year has been that, I guess, an undercurrent of people feeling that our 75 to 125 basis points was too aggressive on the upside. So I can only repeat that we believe it is a reasonable objective and estimate on our part. It is driven precisely by the streams that you indicate. We expect to see sequential improvement, progressive improvement, as we have said before, as the year unfolds. And oh Allah, that you would be right, but our estimation is still the 75 to 125.
Operator: We'll take our next question from Connie Maneaty with BMO Capital.
Constance Marie Maneaty - BMO Capital Markets U.S.: I have a follow-up on Venezuela. Could you tell us what Venezuela's percentage of sales and profit is? Also if you think you've taken enough in pricing to offset inflation for this year so that your margins will be essentially flat with last year or if you expect them to decline? And then finally, a lot of the media has been writing about stock-outs and the unavailability of products for consumers. Are you seeing that in your categories, and are you producing to demand?
Ian M. Cook: Yes, Connie, first, Venezuela accounts for about 5% of our sales. As you know, we don't provide profitability on a subsidiary-by-subsidiary basis. Secondly, it would be fair to say, I think, as we have been working hard to manage Venezuela in the past, that recognizing certain decisions may come. We took appropriate actions in terms of our pricing stance to offset inflation and at the same time, rationalize our portfolio to what you might call power SKUs in an environment where we are making in Venezuela over 85% of the volume that we sell. I mentioned earlier and maybe it was when you were cut off, indeed there were some dislocation in the market when the specific price reductions were announced because retailers, wholesalers and distributors in some cases stopped buying as they were waiting for clarity about what would actually happen in the marketplace and not wanting to buy if a price was then going to go down. And we are very much as a company providing our products to the marketplace. But of course, in the early part of this year as people, retailers were not buying products, there were clearly gaps on the shelves. We are supplying the market now, and our market shares continue to be at very, very strong levels. So we think as we have done in the past, we have been responsibly managing Venezuela and appropriately managing Venezuela and maintaining our market position as we do so.
Operator: We'll take our next question from Lauren Lieberman with Barclays.
Lauren R. Lieberman - Barclays Capital, Research Division: Just want to ask a little bit about the Total relaunch in North America. My understanding is that it was in the first quarter. And I know the Nielsen data should be taken with a very large grain of salt, but it did look like the volume for the Total business is actually quite weak or hasn't really shown any impact of what would look like a relaunch. So can you just give us an idea when the relaunch happened, when the advertising was launching and what you kind of see for that going forward?
Ian M. Cook: Sure, Lauren. The answer is in fact North America was our lead country from around the world for launching Colgate -- relaunching, I'm sorry, Colgate Total. And indeed that took place the early part of the second half last year, and we made good progress on the Total business. Then of course, we have now switched to Optic in the fourth quarter and first quarter this year. And our attentions are very squarely on building trial and the repeat that we know goes with that trial with the super premium offering of Optic. And so as the year progresses, I think you can expect that relationship to balance out. But there's no question in the Nielsen data, you will see that the focus on Optic has indeed slowed the progression on Total.
Operator: We'll take our next question from Mark Astrachan with Stifel, Nicolaus.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: Back on Hill's. As I said previously, the volumes have been weak although operating margin has improved over the last few years. I guess, I'm curious if there's been a change to managing the business more for cash, I guess, or do you think that you can get back to a little bit single-digit volume growth again? And sort of related to what you said about relaunching the business, how do you think about an acquisition of a Natural brand as opposed to simply supplementing it with some of the relaunches that sort of reposition it as a more natural product?
Ian M. Cook: Yes, we view Hill's as a growth business. We view the emotional connection that consumers have with products they feed to their pets. Pets in today's society who are becoming members of a family, and sometimes it's difficult to know whether the parents dote more on their children or their pets. It's close, but we like both. We bring validated clinical science that delivers real benefit and garners veterinary endorsement and commands pricing and enviable gross margins. So we see this as a growth business, and we like it. The singular issue and it is a U.S. issue is having more of a share of the Naturals segments. And that's something that we have to do in the context of the equity that is Hill's, which is a science-based equity. Ideal Balance is a start, and the relaunch in the middle of the year makes the Hill's Science side offering much more competitive with those Naturals brands.  Would we consider acquiring a business? Yes, we would. And we have said publicly before that our acquisition interests are in oral care, are in pet nutrition and are in personal care. And so strategically, the answer is yes, of course, the other book end of our acquisition strategy is that the economics have to make sense. So, yes, strategically and you can rest assured that any assessment we might make would be balanced with the economic aspect of the equation as well, but there is no strategic negative with the idea of potentially acquiring such a business at some time.
Operator: We'll go next to Jason Gere with RBC Capital Markets.
Jason Gere - RBC Capital Markets, LLC, Research Division: Just housekeeping and then just a bigger picture question. Housekeeping, on my trip [ph] you said on currency, the impacts of the full year. Are we still thinking 3 to 4 on the top line? And then on just I guess the bigger picture, as many of your peers are talking about accelerating their investments in emerging markets and getting more of that white space expansion, clearly you guys have decades of experience ahead of them. And I'm just -- outside of toothpaste, just wondering when you look at your categories, where is there still more meaningful opportunity to expand into markets where you're currently not?
Ian M. Cook: The currency this year -- Yes, Jason, we're kind of in the same place. As we said on the last call, top line, about 3%; bottom line, about 3.5% to 4%. So that's the housekeeping. Emerging markets, you're right. We made investments and continue to make investments, but we made substantial investments in those emerging markets many, many years ago and continue to make them as we continue to grow the way we do. And obviously, as you suggest, one of the opportunities we have, which we constantly assess, is the ability to companion strong oral care businesses with personal care category entries. And I think that's part of our strategy that you could see progressing as we go forward.
Operator: And our last question today will come from Lee First [ph] with Wellington Shields.
Unknown Analyst: What can you tell us about the components of your spending mix behind your brands?
Ian M. Cook: Well, the -- it is many, which is the reason I hesitate. We think about our engagements, as we call it, with consumers holistically. And there used to be that old adage that trade spending was bad and advertising was good. And I think today with the techniques available to us, we as marketers need to broaden our thinking to include all ways of touching the consumer. So we think about it as direct to consumer, which means engaging the consumer before they are buying our brand. And of course, we do this in a variety of ways: the traditional television, radio, print, media. And remember, with over half of our business in the emerging markets, television penetration, and its strength as a mass medium is still absolute. But in some of the developed markets, we find ourselves better able to engage with consumers depending on our brands, depending on them as a targeting audience using digital, which we experiment with quite broadly, and in some geographies like the U.S. spend between 13% and 15% of their working media on digital. We also use digital in more, you might say, mundane ways but directly messaging not to a smartphone but to a mobile phone in parts of the world where otherwise you wouldn't be able to reach that consumer. And of course, we do the many educational programs that you may know us for like Bright Smiles, Bright Future, seeking to get kids into good brushing habits, and of course, a lifetime of using Colgate products. And the work we do with dental and veterinary professionals to convey the clinical strength of our products, so they can recommend them confidence. And we also, which comes back to the holistic side of things, think about consumers as shoppers. And today, there are many techniques that you can use in the retail environment that are very effective and very strong from a brand building point of view but wouldn't technically come out of the so-called below-the-line advertising measure. They might be captured in trade spending, which comes between the gross sale and the net sale, but we are adopting and deploying many techniques in that area as well. So that's how we think about it and of course, we do all of that on a market-by-market, category-by-category, brand-by-brand basis with a focus on return on investment.
Operator: And we have no further questions in our queue.
Ian M. Cook: Okay. Well, thanks, everyone, for joining us. We enjoyed sharing with you what we think is a strong start to 2012. And as is customary, I would particularly like to thank all the Colgate folks around the world who work so hard to make this kind of result happen. Thanks, everybody.
Operator: This does conclude today's conference. We thank you for your participation.